Fabricio Bloisi: [Presentation] Hello partners. How are you? Welcome to our results call. I hope you received and you enjoyed our results today. I'm quite excited to what we shared today. At the same time, we could share you more about our growth not only that we are growing 20%, but even more important that our ecosystem thesis is working. So I enjoyed very much to share the numbers of Despegar. It's not only 5% of Despegar revenue coming from the iFood ecosystem, but we share the data week by week. You can see a very strong growth. I'm quite confident we will get to 10%, 15% in the short term. So this is the base of our thesis, our ecosystem thesis, we are growing very fast in iFood, but we are pushing Despegar to grow together. At the same time, we could share a little of our numbers in terms of results. You saw we grew 70% to $530 million. I think it's great to share this number with you. One year ago, I told you I expect us to be -- have more profit than the dividends, and I expect us to get to multiple billion dollars of profit. And many people said, I can't see Prosus doing that. So I hope you can see Prosus doing that today. We are going to get between $1.1 billion to $1.2 billion in adjusted EBITDA this year, excluding JET and LA CENTRALE. So we can expect I don't know $1.2 billion, $3 billion, $4 billion of EBITDA this year and for a couple of billion dollars of profit in the next few years. So I'm quite excited about our numbers in terms of results. We keep the discipline. We sold $1.2 billion, but we are on track to sell at least $2 billion this year of our assets. We keep our buyback. Now we sold -- we bought back more than $40 billion, generating more than $60 billion in results. So I think we keep the discipline, we keep the growth -- but I want to reinforce all of that is the foundation to how we are going to build a much bigger company. So innovation is growing amazingly [indiscernible]. I wanted to do a bigger session on innovation now, but because of the timing, we decided to focus on numbers today, but in a few weeks by December 15, maybe January 15, we are going to make a much longer presentation on how AI is changing our lives in terms of live commerce models, in terms of assistance. You saw we had 20,000 assistant already. So I could talk a lot about innovation. I hope you make questions about that. It's quite exciting. So our moment now is execution, execution, execution. We had some discipline also in M&A. A few M&As are focusing growth. For example, the Indian ones, [indiscernible] and [indiscernible], they are growing [indiscernible] is growing more than 120% year-over-year. We are very excited about that. A few M&As are increasing our profitability, like La Centrale and Despegar. So I think the company is doing good. I'm excited about the results. I hope you have many exciting questions for us today. And my priority now execute go to those few billion dollars in results. We are just getting started. We really want to build at least $100 billion outside of Tencent and one of the best tech companies in the world. Let's talk more about that today. So let's go for our questions. Mr. Eoin, right, guide us.
Eoin Ryan: Speaking of just getting started, let's get started on the Q&A. Catherine, why don't you -- if you could remind the audience how to ask a question, please? And then I'll start off with a quick question. So please, Catherine.
Operator: [Operator Instructions]. I will now hand back to your host, Eoin Ryan, to take your questions.
Eoin Ryan: That's great, Catherine. Thanks very much. It's great to be here today, and it's good to hear from you guys. As you said, Fabricio, I think we're following through on our commitments. One such commitment was investment in our ecosystems. The biggest investment to date has been Jet, and I think it's on the minds of most of investors. So can you give us a little update? We're a few days in since the delisting of Jet? What's the future look like?
Fabricio Bloisi: Let's talk about Jet. First, we closed the Jet transaction completely a few weeks ago. But just last Monday or Tuesday, we changed the management -- the Supervisory Board. So now I and a few other people from Prosus are part of the Supervisory Board of Jet for the last 6 days. So what I can tell you, we are very, very confident. As you saw, we shared lots of data on Despegar, how it's growing, how we are working on the ecosystem. On Jet, we have just 6 days. So it would not be appropriate to share today. What I can tell you, first, we are this week working a lot with Jet on our key set of culture to enable the company to think big, move faster and grow a lot. Jet is not growing over the last few years, as you know, obviously we know that's true. I'm very, very confident that together, we deliver a company that grow faster and is much better. The first big thing is on culture. It's happening right now the replanning of Jet. That's why I couldn't add the numbers because we need a few more weeks to have projections for Jet. At the same time, our focus besides culture. And again, you saw me here last we on [indiscernible], the results we have today is because of the change of culture 1 year ago. Besides of culture, technology and product are the 3 big areas of energy of our efforts. On technology, we need again to move faster and to make sure Jet becomes a more a tech-first company with first-class technology in the world using AI to take all its decisions. On products, we have to make sure that a few areas that Jet is a little say, behind, we get -- we move faster, for example, loyalty program that is core in Latin America, but it's not ready here in Europe. So we are going to push those 3 things. We expect to push it in November and December. Hopefully, in January, we have a few results to share. Today, it is still too soon. But I can tell you that I am -- Jet is not performing well. We all know that, but the level of confidence I have that we will have a company growing again and competing very well is very, very high. And probably you know I like some letters from the CEO, maybe we share a letter from the CEO, but we can share more inform Jet. But you have more specific questions, I can answer today.
Eoin Ryan: It's the holiday season for letter writing, so maybe you can [indiscernible] investors there. Okay. Well, thanks. I'm sure there'll be some follow-up questions on that throughout the call. But let's open it up to the audience. And I think the first question is coming from Will Packer of BNP.
William Packer: Two from me, please. Firstly, Fabricio, you talked to optimizing the buyback in your prepared remarks video. Could you help us think through the implications of that optimizing? Is it the current buyback run rate of $6 billion to $7 billion as the new normal for FY '26, '27 and beyond? Or should we think of you cutting the buyback? And then it sounds like it's fair to assume that there's going to be some flexibility of funding perhaps away from Tencent towards Meituan and free cash flow. In terms of my second question, the global online classified share prices have sold off sharply in recent weeks following the OpenAI Developer Day and Rightmove's AI profit warning. Fabricio specifically, Gen AI is central to your vision for the group. How are you thinking about the risk and opportunity for classifieds in terms of Gen AI? Does this recent sell-off make the sector an increasingly attractive potential use of your M&A firepower? Or would you rather see the dust settle first?
Fabricio Bloisi: Thank you. Thank you for the questions. First, you asked about optimizing the buyback. You have lots of good numbers there. I don't need to repeat all of them. But in general, as we said, the buyback is more or less $6 billion to $7 billion this year. We have an open buyback. We are going to keep an open buyback the way it is. I like buybacks because I think we are if our company is cheap, we should be investing in our own company and increasing the value of the shareholders that want to stay. So we are going to keep doing that. On the other side, I think the company we have today is a very different process than it was 2, 3 years ago. Remember, again, 1 year ago, I said we are going to get to multiple billion dollars of profit. Many shareholders didn't see it coming. It is coming. But hopefully, you can see that in the numbers that we are sharing today. So Prosus is on a different moment. The discount is on a different moment. Tencent is on a different moment. I'm a big fan of Tencent. I think Tencent is going to be a big winner in the AI race. Tencent is positioned for that in China. And if you compare the multiples of Tencent versus everything else in U.S. There is a lot of space to Tencent keep growing. So it's exactly what I said, optimizing the buyback. We are going to keep the buyback as we have, but I'm not going to say names of other companies. People ask me not to name other companies. I can tell you that there is other companies in our portfolio that we believe has smaller growth potential than Tencent, growth and strategic potential than Tencent. And yes, we are going to sell these companies and use this money also to keep a buyback. So what we are going to see is optimize exactly that. Eventually, the buyback is, I don't know, $1 billion, maybe $0.5 billion is from Tencent, $0.5 billion is for other companies that we can sell and use the cash to -- I think the right word to use to make a better capital allocation, with the #1 company in China, growing fast, well positioned to win in the AI race. Not the best decision to me to sell Tencent even if we increase the value per share. So if we can optimize selling other things and increasing our participation, that's what we intend to do. We expect to sell at least $2 billion this year. And how can I say, you can expect that we are going to do buybacks using other source that is not Tencent.
Unknown Executive: Just to remind shareholders, although we're selling our Tencent stake on a per share basis, we actually increased our exposure in Tencent by the share buyback with the other proceeds from other divestments. And I will further enhance on a per share basis the exposure to Tencent compared to continuing on the current path. So I think that is a critical way of how we can further enhance the share buyback.
Eoin Ryan: For example, there's other company that we believe has less focus today than they should. We could sell that we believe has less focus and invest more or sell less of that we believe are performing well, has less focus and we believe are going to the Chinese market. So that's what I mean by optimizing.
Unknown Executive: Those companies are the companies you're talking about as the additional EUR 2 billion, right? That's just to be clear.
Fabricio Bloisi: At least 2 billion we already sold 1.2 billion, so at least -- and can we use this money to offset, let's say, sell 1 billion from other companies are true. Yes.
Unknown Executive: That's something we've seen from the group in many years, a more active portfolio management.
Fabricio Bloisi: Yes. The buyback was 100% automatically. That's what I don't mind. We should say we should sell more or less and we should select better what to sell to buy.
Eoin Ryan: Great-- and to the second question.
Fabricio Bloisi: Yes. The second question was on AI and classifieds, you said. Many people sometimes ask me, if I think -- I'm not the first one this week, if I think AI could have an impact on classifieds. My answer is it's much bigger than that. I think AI is going to have impact in classifieds on e-commerce and food delivery, in investing in analyst reports from banks, AI is going to have impact everywhere. Obviously, as you know, the market today is a little too heavy. So everyone looks like AI winner. But there will be AI wins that will create trillions of dollars of value, not only trillions of dollars of cost, but trillions of dollars of value, and it is going to happen. How I see that on classifieds. The point here is not if AI is going to hit your industry or not? Because if you think AI is not going to hit your industry, you are wrong. It will hit our industry. The point is how we play our game on that industry. And I think what we are doing here in [indiscernible] is very, very good. We are not like -- you said some other company or you said some classifieds went down [indiscernible]. Other -- the again, other classifieds companies, they have been much more conservative in technology, and they invested much less to be classified people were, how can I say, surfing the high profitability without investing a lot in technology. That's not our approach. [indiscernible] as a group is investing in large commerce model to understand the customers better than itself and use data to improve our companies. We're investing a lot on agents. We have more than 20,000 agents doing everything, including many things on classifieds. We're investing a lot in ventures and the only focus of ventures from now is not to be a venture capital that invest in everything, to invest in companies that can make our ecosystem run better or that can run better because our ecosystem. So these 3 areas has profound impact in our classified business. We are using the large commerce model to run better classified business and ads. On agents, we are running a lot of our services to agents, for example, taking care of customers, taking care of retailers. Remember our classifieds less horizontal, more focused in real estate and jobs and -- so we are taking care of the auto retailers and our partners. And third, we are investing in early-stage AI companies that can are betting in growing in classified. So we can make these companies grow faster. And we can also make our classifieds not only keep growing, but disrupt other classifieds. So yes, AI will have impact. I think Prosus is very well positioned about that because everything we are doing. We could talk about that for 1 hour. But part of our positive results, not because we are lucky or because our markets just grow is because we are selling better. We are reducing the cost of ads. We are increasing the efficiency of the company. We have -- we are reducing the requirement for hiring people because our agents expand our working capacity. So we are doing a lot of classifieds. For example, [indiscernible]. We just invested in one company that are automating through agents, the relationship between real estate and their customers. We are doing that by ourselves, and we invest in a company that is growing like 300%, doing the same thing. Our classifieds is very well positioned to use AI as a competitive advantage. So that's how I see growth.
Operator: And the next question is going to come from [indiscernible].
Andrew Ross: I've got 2, please. First one is to follow up on Will's question on optimization of the buyback and to understand how it relates to where the discount is at a given period in time. It's been observable that the cadence of buybacks has slowed down in the last few months as the discount has stayed in that kind of high 20s to 30-ish percent zone depending on your definition of the NAV. So should we kind of see that as a signal that the company feels there's less attractive opportunities in buying its own shares relative to the rest of the NAV at these levels? And should we expect the buyback to move up or down depending on where the discount is? That's the first question. The second one is to follow up on the opening remarks on Jet. I appreciate it's going to be hard to give guidance today. But if you could give us a flavor like the level of investment that you'd like to put into Jet, that would be very helpful..
Fabricio Bloisi: Thank you, Andrew. On the buyback, I was concentrating the Jet. You want more information on...
Unknown Executive: Whether it's a function of the discount coming down, the buyback.
Fabricio Bloisi: What I said is what I don't like is to have a completely automatic thing. So it's a function of many things, how well we are doing, how fast we are growing, how profitable we are, how our discount is. You said that was around 26, 27 over the last 1 month, 2 months. I am an optimistic founder. So you can discount my optimistic opinion. But I will also 1.5 years later, remind you that we are delivering everything that we promised 1 year ago. We are delivering the growth, profitability, the discipline, the complete reset on culture and the innovation. So my optimistic vision is discount will go down more because if the business is very valuable and we have $1 billion, $3 billion, $4 billion in profits in our core that is playing well [indiscernible], et cetera, I will call you later to ask why is the reason to have this level of discount at $26 or $7 or $8 that it was. So considering all of that, the buyback is going to be more aggressive or less aggressive. My point on optimization now specifically is if we can keep buying back, but not only from Tencent, but from Tencent and other assets that we are selling, this is much better for us all. So that's what we are trying to implement now. I [indiscernible] another question.
Unknown Executive: Yes, it was on the level of investment for Jet.
Fabricio Bloisi: Yes, the level of investment for Jet. It's not the problem, to be honest, Andrew, not the problem today. So how I see that? First, would I invest more in Jet? Yes. My problem today is not invest more in jet that we became operators of the company 6 days ago. We are having the full week of meeting to plan the next 3 or 4 months. The government doesn't even have a plan for the next 3 or 4 months because their budget stops in December. So we are doing today to tomorrow, the planning for the next 3 or 4 months. So we had a discussion last week, should be doing like in 1 day a proposal. The answer is no, you have our guidance without Jet. We will give more information on the guidance with Jet as soon as we have it. But I want to reinforce first, the problem is not the level of investment to me. The problem is the efficiency, 2 things. First, Jet is under delivering what they promise their current guidance, what they are delivering is less than the current guidance. But second, the efficiency of the investment in Jet has to improve before any other movement. So I'm not going to increase investment directly in Jet, if I don't think we are making the I could put $100 million in Jet. It's not very well invested, it's not worthwhile. So right now, we are trying to rebalance return on investments on investments and help technology improve return on investments. That's why the guidance for the next 2, 3, 4 months, they are not very valuable because if we think we can improve a lot in 45 days, I have to run it first and see the results, then a new guidance. So that's why we need 45 days to have a better view on Jet numbers. But I just want to reinforce, Nico want to complement, but to reinforce our level of confidence that we can run Jet better in terms of growth and profitability is very, very high. And we will share in details more about that when we share more data on Jet.
Unknown Executive: And Andrew, maybe just to comment on Fabricio said that Jet did not perform well. It was a listed company until last week. Last time it came to the market, you would have seen that order growth was negative 7%. Company guided at that stage given their own internal metrics in euro terms, they reported in euros EBITDA of about EUR 360 million for the calendar year FY '25, which is December '25. Now what I can say to you that some of those trends have continued during Q3, where we've seen further reduction in some of the order growth -- and that will cause and have an impact in terms of the original guidance. Our expectations measure against that is that I will materially invest EUR 360 million. Anyway, my confidence on Jet growing faster and improving result is very high. But since we have 6 days, you need to update the numbers on Jet in the next call.
Unknown Executive: I think the important thing to point out here is that the acquisition was not made on the results of this year. The acquisition was made on the expectations for turnover multiyears, which is what you're talking about as planning has just begun on that.
Fabricio Bloisi: Yes. So as I said, on these 6 days, we think the numbers are bad because of this reduction of 6% I believe that in 45 days with a strong reset and culture and moving faster in tech, we have good news to share, but we can do that today because it's too early.
Eoin Ryan: Thank you, Andrew. And the next question we'll take from Cesar at Bank of America.
Cesar Tiron: I just want to focus on M&A. So I have a couple of questions on it. The first one, do I understand correctly that the available firepower for M&A is still around $8 billion? That's the first one. The second one, should we expect you to pose a little bit M&A as you focus on integrating all these assets and focusing on the ecosystems? Or should we expect any large transactions in the next couple of months? And then the third one, it seems to me that you've been talking a lot more about India recently. Should we understand that this is back as a focus area for you? So I felt you talked a little bit more about it than at the Capital Markets Day, for example.
Nico Marais: Let me take the first one. So Cesar, thanks for the question. So at the end of September, from a total group perspective, we had $20 billion of cash on the balance sheet, about $18 billion of that related to our central corporate cost, corporate cash position. And subsequent to September, we have settled, of course, the Jet acquisition as well as LA CENTRALE. So that was about $7 billion that were spent on that. So on a pro forma basis, it leaves us with about $11 billion of cash at the center. And obviously, we need some liquidity buffer against that. So what is available for M&A is, I would say, at least $8 billion and more from a balance sheet perspective.
Fabricio Bloisi: That said, our priority is not to spend $8 billion or more or [indiscernible] on big acquisitions right now, big priority by far. I think I want to highlight one thing. First, our execution has been very, very good. We talk more about on those meetings, but [indiscernible] is doing very good, very profitable, growing well. So we have good expectations with LA CENTRALE synergies. And second, again, when we announced the -- just acquisition, many people said, but it's expensive. We really don't believe. I think we are paying -- we paid $4 billion to $5 billion in something that should have $15 billion. That's what we have to build. So my biggest priority by far is how we make sure get back growing with the best technology and products in the world and really win in Europe. That's our biggest priority by now. So as [indiscernible] read in the newspapers on the 2 or 3 rumors intends to expand $5 billion to $10 billion things. I can tell you that we read on the newspapers, the rumors, we are quite much focused in delivering right now. And again, I think now I have some reputation inside Prosus. We deliver the numbers we promised. And also, I always talk about transparency. We will give transparency just after a few more weeks or months or quarter.
Unknown Executive: So like you said in your opening remarks, it's focused on execution, execution, execution, right? And then the other question that Cesar had was on India and whether it's a bigger focus right now.
Fabricio Bloisi: Yes. We talked a lot about the last few days. I met Prime Minister 3 days ago. So it was all in the news that we are talking about. It was really great, to be honest. I'm always complaining Europe has to move faster and talk about creating big tech companies and meeting Prime Minister was how we move faster. He asked me, let's do more. So it was a very inspiring conversation. I think what we've done in India is very good. We are the biggest FTI, international investor in India. Many of our companies has more value to unlock. So we promised you a few IPOs in the last 12 months. Most of them happened. We still have an expectation that there will be another very big IPO and that's going to be big and good of our amazing company. So our returns on investment in India are quite positive. We invested in the last 1 month, I think, in 2 companies that are growing very fast, is growing 120% #1 company mobility [indiscernible] is growing very fast. I don't know now, maybe 70%, something around that. And they are very good online travel agents and travel and mobility, too. So I think we are keeping the consistency in the areas we want to invest. We are keeping the idea of ecosystem synergies and I expect a lot more good news from India, not only like spending a lot of money, but we put that in the presentations. PayU for years, including you, our analysts complaining that PayU has to perform better. PayU is profitable. Finally, after many years, the profitability of PayU is growing quarter-by-quarter quite well, month by month, even better. PayU is helping other companies to grow faster and other companies are helping Pay to grow faster. So and [indiscernible] Ixigo getting closer to our ecosystem will create another positive impact. We are excited that we are going to build more many billions dollars in value in [indiscernible].
Unknown Executive: I think -- and it's clear you can see the operational improvement in the owned and operated PU, but you're also seeing that increasing connectiveness of all of the individual pieces within the ecosystem working together a little bit more.
Fabricio Bloisi: So you see this time we shared lots of data in Latin America. Probably you saw that Shark rev in the loyalty in the center and many business around benefit from these customers, and we even shared some data. We are doing the same thing in India. The results are good. We are going to share more data with that in the next few months. So we don't expect to spend $8 billion in India right now, but to keep having good results in terms of ecosystem building in India. And I think the latest investments are very good [indiscernible].
Unknown Executive: And with au now profitable, we can say that all of our main businesses are indeed profitable, which is something we've never been able to say. And when you think about millions to 1 billion and then to multiple billions, that's certainly a necessary thing.
Fabricio Bloisi: All the business runs.
Eoin Ryan: All right Cesar. So thanks very much for the questions, and we'll move to Michael.
Unknown Analyst: Yes. First of all, thank you for letting us ask the questions and for the presentation. So the first one is actually in iFood. So with [indiscernible] now ramping up their presence in the Brazilian food delivery market, what are your thoughts? And what have you seen since October? And then how do you think this is going to impact iFood's growth trajectory over the next year to 2 years? And then maybe just touching on India. So you mentioned that there's a lot more collaboration between yourselves and the different companies that you have minority stakes in. How do you think about monetizing that going forward? Is that largely given from yourselves? Or are they providing data back at a higher rate?
Unknown Executive: I understand the name of the question [indiscernible] yourself -- it's a connection of between the companies in India and particularly the minority trust companies and whether there's -- how do we facilitate data sharing to improve the [indiscernible].
Fabricio Bloisi: So first on iFood, I think many of you were in Brazil and visiting Brazil 1 or 2 months ago. The people that were there, they could see iFood is more than one business that they're doing the same thing for the last 5, 7 years. The reason iFood is growing so fast. We just got through including all the business, 160 million orders -- just to remind you, last time we met, celebrated $100 million $160 million orders is because it's a company innovating and rethinking how we offer business and offer the best technology for our customers. So obviously, we have competition now, more competition that is DT and [indiscernible] is also entering Brazil just entered. Those 2 companies entering a few cities, 2 or 3, spending a lot of money per order, like they have discounts of 20%, 50%, 60%, sometimes 70% in an order. So my advice to you, just check later how much they are paying to be there competing. And look, if you give a free meal to someone people, we eat for free. It will have it. But is it sustainable to have the best service, best offer over time. And remember, this is in the core, that is the food delivery. iFood today have besides the core, a big loyalty program that gives free delivery plus discount on Despegar, plus discount, I think, 1,000 other companies. We have fintech. We have dine-in. We have POS machines in the restaurants where we take transactions. We have [indiscernible] where we put orders in the restaurants. We have a credit card voucher credit card with 1 million people buying food with a credit card, paying to iFood. We have the business of ads that is going super well. We invest in 2. We bought one company we invested in [indiscernible], great company in terms of loyalty. We have classified the integration with Despegar is a big success. So everything that buys in iFood, they get 3 points to use on Despegar. We have a company for entertainment that is. We have -- we are launching now -- just now launching one city today this week, iFood plus Uber. So Uber has tens of millions of customers that are not iFood customers, and iFood has tens of millions of customers that are not Uber customers. I guarantee you that we are going to see a lot of cross-sell in the 2 best companies in the region. So some companies are investing a lot to have the offer that we had 6 years ago, and we welcome competition. This make everyone runs faster, but it's much more than let's make the next sale of a business and cash call this business. It is, can we be the best creating new business, innovating, moving faster, iFood is doing that. So if you study around the core food delivery, you see many business. Interesting thing for you because I know you like the numbers and more my things on innovation. Fintech, we spent 2, 3 years saying fintech is the future for iFood. Fintech numbers are growing very fast and profitability in fintech is growing very fast. So our profitability keeps growing because a few business we were investing 1, 2 years ago. I'll tell you true, fintech, groceries and selling to Whatsapp. We were losing money in the last 2, 3 years, now we are making money. So my point is a good business and there will be competition and let's fight for offering the best service for our customers. And I want to remind you, we are very focused in iFood chewing there. Some of our competitors are distracted all around the world. Even in their home markets, there is a lot of, I say, pressure to compete against other players. So we are confident, but we compete.
Unknown Executive: And Michael, you also asked in terms of given the competitive environment, how do we see in terms of what the impact of that might be. And look, in terms of the high growth rates that we're very confident that for the second half of this year, we will continue to sort of stay at those levels. And we also reiterated our confidence in our overall guidance. iFood is also investing in new product, but also against some of the competitors, but we built a lot of that into our existing processes. And we are sort of reevaluating various other projects and elements to utilize and free up funding so that we can actually fight against the competitors without changing the sort of trajectory that iFood is on for this financial year.
Unknown Executive: I think another important point though is the concept of competition for iFood is certainly not new. And over the years where they've actually had the most competition are the periods where we see the most growth. And one of the things that Diego often says is you focus on price, it's the race to the bottom, but you build a real moat through product. And what you've just described there is an ecosystem that is iFood within an ecosystem that is LatAm -- and I think you've highlighted, I think there's tremendous hidden value in that Pago business that we should and will have more to bring to you guys in the future. Now how about -- we touched on the India ecosystem. And the question there was whether -- how the business -- how you can really build the LCM and the connectivity between those businesses with them connecting data.
Unknown Executive: And you asked about minority companies.
Unknown Executive: Yes, exactly.
Fabricio Bloisi: Look, my mind doesn't work like that. I remember the last results call, someone made the same question. If you are a minority, then you can't cooperate between the companies. I disagree. I absolutely disagree. I think we can cooperate with minority companies. We do it -- we don't do it because I call that and say, I'm boss doing what I'm saying. We do it because we call and say that's how we run fine-tuning our AI models. That's how we run customer support using AI. That's our KPIs on optimizing the partner -- our partners' relationship with agents. When we show off that to a good company, the company say, I want it. I'm going to get this data. I want to run my open just like that. With other companies, another story, we show off that to like, but [indiscernible] showed how they are doing, I think, was multi-language customer support and said, okay, this is very good. We want to use. We want to learn more from that. So the point is not being majority or minority. And if you need to be majority to do something good because there's something wrong or you are not selling well or the guy that is not the right guy. We can work with the minorities because we're saying this company can grow faster. These are the data and the technology that gets there. And we are cooperating well on that. One example, PayU is giving credit and working with customer profiles with users that we are minority investors, but the companies are growing faster because of PayU. That's why we are here.
Eoin Ryan: And the other thing to take into account is the LLM so the LC that we're testing now in LatAm, and we're getting some of the results already in the deck. That's something that we can also bring to bear in the other ecosystems.
Fabricio Bloisi: So today, we have an event with 80 people from all around the world being trained. We launched [indiscernible] AI house 2 weeks ago, where we have now a center of learning and knowledge of AI that everyone is traveling there to participate in the event. We are running today with 80 people inside process on fine-tuning large language models to optimize e-commerce transactions. So everything that we did in Latin America is now like now really today going to India and Europe. So we don't need to be my to do that. And we are quite confident we have a lot of growth. curiosity, I didn't use a lot of the time of the meeting today morning to talk only about tech and innovation, but it was too much information. So we said, let's focus on numbers today. We will get back soon as soon as all want to talk to me because I want to do it in 2 weeks. But we are going to share why we are more confident than ever that we are one of the best players in AI ecommerce in the world. So we'll talk more about that.
Unknown Executive: You brought up the AI and I'll get to your questions again. But I think this is an important thing to pause out because this is something that is kind of inherent in the new culture. It's not something you would expect 1, 2 years ago. Can you talk a little bit about the AI has, why you opened it, what you're hoping to achieve because it is certainly no different.
Fabricio Bloisi: I want to make Amsterdam the center of AI in Europe has a lot of knowledge but not vibrant community [indiscernible] every day there. So create a big space in Amsterdam, where every day we have a hackathon meeting of course. And it's open for 2 weeks. We are having every day a big event with hundreds of people, and we are helping the ecosystem and we are helping ourselves to, but we are contributing to make Netherlands a center in Europe AI. We also hosted last week, the House of opening was last week, 2 weeks ago, we hosted the Luminate an event in Europe talking about putting regulators and founders together to reinforce that [indiscernible] was one of the speakers there and President [indiscernible]. We are talking about Europe needs to move faster. Europe needs to play to win. There are many things in Europe regulation, including the AI, congratulations in Europe because we did a big change this week, including the [indiscernible] that we think should be taking more risk to create leaders. So is taking a much more aggressive or premanent position to say, let's lead technology and regulator to create a big European tech leader, and we are very confident on our actions.
Unknown Executive: I would tell more time. That's great. Please. Are so we think don't kill my e-mail now. We'd love to have some of our investors and analysts at the AIS so we can match up certain events with your travel. So please reach out to IR. So let's move on. Thank you, Michael. We'll move on to Luke at Morgan Stanley. So let's move on. Thank you, Michael. We'll move on to Luke at Morgan Stanley.
Luke Holbrook: I just wondered if I could pick up on this thread of more competition in food delivery. So you signaled more investment in Jet. Obviously, we heard from Delivery Hero and Talabat also pointed to more investment Dash as well being a big theme over the last month. But if we just map that through then for iFood, how can we see that progressing into FY '27? Is that kind of the trajectory that you see there? And just particularly in the context that you may need to -- do you feel like there needs to be more investment into dark stores or more 1P logistics? I'd just be interested to hear your thoughts there. And then just finally, I appreciate you might not be able to say anything, but the Delivery Hero situation. Obviously, you've got until mid-August to sell down to single digits. Is there anything that you can comment on in regards to that?
Fabricio Bloisi: Okay. So on competition on Talabat, we have no access [indiscernible] Talabat. iFood made a projection for the year that included competitors, and we are going to deliver on our projection and our growth and everything else. So we are doing quite good. I can't talk today on the numbers for the next year. But as I told you, many of the business that we started 1 year or 2 years ago or 3 years or 4 years ago, they have become mature now. So iFood is more than the food delivery. One example is the iFood Pago. You remember me about that. Remember that Mercado Libre has half of its profit for Mercado Pago. iFood Pago is an important part of iFood already and it's growing. So I don't have any number today to share on the next year. I can tell you that what better for this year, we are delivering, we are happy with that. And we have to do the next year in 1 or 2 months. On the [indiscernible] Hero, I'm sorry, I don't have any update on that. We have an agreement. The agreement is for 12 months. We are going to deliver in the agreement that we made. Sometimes I talk in the press that I believe that this agreement is not the best thing for Europe. Europe would be better as a content if we have global tax champions that said we have an agreement. We are going to do the agreement according to the terms of the agreement, nothing to share. However, we are selling assets of Compass that has lower -- we are selling assets of companies. When I say we are going to sell $2 billion this year, it doesn't include delivery. So maybe we're going to sell more than $2 billion, maybe you're going to sell next year. We just don't have any update on that.
Unknown Executive: Maybe just to add to that, a lot of the investments that we're making in iFood to drive the business forward regardless of the competition are exactly in the same areas that we now need to do even better because of the competition. For instance, optimizing the delivery aspect of the business cheaper food elements, the loyalty program. All of those things we have been doing. We're just accelerating and improving even more in those spaces. And now we have the AI elements that we can add to enhance that efficiency.
Fabricio Bloisi: And to complement Nico's point on some of the investments we did on iFood over the last 5 years that are quite big, we can replicate that in Jet starting this week because only now we are in the management of Jet. So there is lots of upside inside the ecosystem. That's what I'm selling for 1 year to you. I think Google and Microsoft and Meta and Tencent are winning not only because they have one key product, but because they have a scale in an ecosystem that enable cross-sell AI technology. We have that, and we will have benefit on that on Jet and on [indiscernible].
Unknown Executive: I think one of the things that I think has done a fantastic job of in the past is areas that required investments to scale, then don't need all of that investment going forward. You take some of that from Area A and deploy it into Area B. So it's not incremental investment always in the asset. And I think one of the questions that we get underneath this perhaps is, what does this mean for kind of your future year guidance? And what -- is this a kind of a retrenchment or a return to kind of an investment cycle. But I think you were very clear at the beginning of the call that you expect to go from the 1-point-something billion today, even 3, you said more than that. And that includes investment in the other parts of the business and food.
Fabricio Bloisi: So I ask you the credibility to think that first time we talk about $2 billion, everyone said, oh my God, I don't see how they can do it. You get to $2 billion. And -- so we are confident we are going to keep increasing our margins.
Eoin Ryan: And I think they've probably said the same thing on 160 orders as I -- so thanks very much for that , and we will go to Robert Calabretta.
Robert Calabretta: Yes, first question on the impact of agentic consumer applications on marketplaces. If you look at these agentic applications, people are using it for more and more tasks. In the case of process, I think you saw the first impact at stack overflow where people found coding suggestions of agentic applications better than browsing on the forum. But increasingly, it could be the case that purchasing decisions could also move towards these consumer-aggentic applications like ChatGPT. So I'm wondering, how do you plan to integrate your marketplaces inside of these applications and as user behavior shifts towards consumer agentic applications, yes, could some of marketplaces like Classifieds lose distribution leverage and the data advantage. So how will you address this to stay ahead? Yes. Maybe a second question on the IRRs. I think in the past, you targeted a 20% IRR target with a higher hurdle for start-ups and lower for high-quality, more mature businesses. If I look at, for example, La Centrale, which you're buying for around EUR 1 billion, clearly a high-quality business. it's growing at a CAGR of 13% EBITDA, and you expect that market growth to continue. So I think it's challenging maybe to get the 20% IRR. So I'm wondering what is kind of your lower hurdle in terms of larger investments in terms of IRR. So what is your minimum hurdle to make these deals?
Fabricio Bloisi: I'll try to quickly just because of the time. But on the first one, what you just asked, life agents are going to compete against us, Yes. I told you in the beginning, I want to talk 1 hour about our strategy there. It's exactly about that. So what we are going to tell you soon is we are doing large commerce model. We are doing agents focusing our internal and partners, and we are doing life agents -- sorry, life assistance where we deliver this kind of service to our customers. And I think we will be very well positioned because of our ecosystem and how to offer there better than any other player outside. So I could talk about that for 1 hour, but I need you to read a little more. But I agree with you, Robert, it's a risk. Yes, it's an opportunity, too. We are moving fast to lead on that, including on many investments we made exactly on this area. So we are bullish and excited about what we can do in what we call life assistance. Next chapter to know more about that. The second is on IRR. We expect, yes, 20% IRR on La Centrale. Remember, La Centrale is a small company operating more isolated. We think that putting it together with everything we are doing outside, we are going to get good levels of growth, increasing profitability, and we expect it to get more than 20% La Centrale.
Eoin Ryan: Great. Thanks. And it looks like will you're back in the line, you want to [indiscernible] I was very stressed.
Operator: If you have more time and get back to Rogelio. Will, are you there?
William Packer: Sorry, I was. Just wanted to come back. So thank you for your comments earlier, very useful. So it's pretty clear the $6 billion to $7 billion is the right kind of framing for the FY '26 buyback. When we think about FY '27 and beyond, is that the kind of level we should be thinking? Or is it just you're going to have optionality and decide depending on the relative appeal of different uses of capital?
Fabricio Bloisi: Companies, they do a buyback very specific. I'm going to buy back $5 billion. We are doing an open buyback. So we are not exactly not saying this is the number for the next 1, 2, 3 years. So we don't have any number for next year. But as I told you before, what I don't like is to have an automatic thing. We have to analyze what we have opportunities, what we have, what's happening in the world. I'll give you one thing to think. I think [indiscernible] is ridiculous ship. But again, oh my God, we can have a company that's creating $1.5 billion close to that in profit and still have a discount. The world is not like that today. We have many companies valued at 100x revenues. having our cash position, maybe the world is going to change. That's my point. There's a lot of change ahead. I think Prosus is very well positioned. If the world change, we are going to become even a more attractive company because we are doing innovation, AI, we are generating cash and we have investment capacity. So for sure, since I have an open buyback, I don't need to think how it's going to work next year, 1 year in advance. I have to keep playing well with discipline, with good capital allocation. That's what you asked me 1 year ago. What I'm telling you now, 1 year after, we delivered the discipline. One year after, selling less Tencent and more other companies is good capital allocation because we believe much more in the growth of Tencent. But what I commit to you is we are going to keep executing well, but we don't have a guidance for next year yet. We don't have it. So in 6 months, maybe we can share it more. Again, I'm confident we are going to keep executing well what we have in terms of innovation delivery to me. I think next year is much more a year of opportunity for us than a year of, oh my God, how we are going to handle not delivering what we promise.
Eoin Ryan: Okay. Thank you. Will 4 minutes left. So let's Thanks, Will. We'll try to get 2 in Nadim from SBG.
Nadim Mohamed: Just 2 very quick ones from me. So we noticed that the likes of Rightmove and others are investing at quite a high rate in AI. This has the impact of weighing down on their profitability. I'd just like to understand how process have done it so that you have -- because we haven't really seen that impact on profitability with these substantial investments in AI and LCM. And then just on top of that, just how much of a differentiator is it when you're looking to acquire a business like La Centrale, the ability to bring these capabilities to the acquisition post deal?
Unknown Executive: So the first question was how has OLX been able to do so well and expand margins meaningfully while investing in AI, whereas other companies, I won't repeat their name, have now had to kind of reset expectations because they're investing. And it's been a long journey of OLX investing in AI.
Fabricio Bloisi: Yes. So I think it all started 1 year ago on culture, focusing results, innovating more. I think OLX is really delivering and operating well, but also it has the support of an ecosystem. So many of the things OLX is setting up right now, they are also learning and sharing from inside the ecosystem. Large commerce model, for example, the investment was in the holding and iPhone. And now that it is ready, we are pushing it through [indiscernible]. So I think -- look, that's the central story or thesis of Prosus. We can have one classified company operating in La Centrale region by itself or -- and that's my thesis together a bigger group that knows to operate classified and AI, we can make their performance better. The first big company we are operating at is Despegar. The number of Despegar doesn't look that big because April, May and June were bad were bad. I look to Despegar month by month, it is increasing every month for 6 months. So that's the difference. OLX benefits from that. And I think I'm quite sure is going to benefit from that too.
Eoin Ryan: So the overall benefit of being part of the group. Nadim, thanks very much. We have to move to the last question. I think we're going to land this. Maddy take us home, please.
Madhvendra Singh: Yes. Just 2 quick ones from my side. The -- your recent positive trip to India and the meeting with the Prime Minister Modi, would you say your CMD ambitions for India were too conservative in hindsight, I mean, with just about 1.3x revenues from FY '25 to FY '28 and just above 5% margins, that's what your CMD guidance was. So wondering whether that changes at all post the meeting with the Prime Minister. And then the second one, on the asset monetization opportunities outside of Tencent and [indiscernible], is there any major opportunities you can talk about?
Fabricio Bloisi: So first, it was inspiring Prime Minister was really expiring -- but then you said many numbers, 13, 14, 15. I didn't connect those numbers super well. for you.
Unknown Executive: Yes. So look, I think the numbers you is referring to related to essentially the long-term ambition that we shared at the CMD for India. But essentially, at that point, those are the control businesses at this stage in India. And obviously, we -- the ecosystem around that is much bigger. So it really depends how the control positions evolve over the next few years. So it could be substantially different depending on how we [indiscernible].
Fabricio Bloisi: Yes, makes total sense. That's why we didn't recognize the number because we are looking just to pay you. Our expectations are bigger than that. But that's the way it is. We have report on that. after talking with Prime Minister, if something changes. I'll tell you, yes, I'll tell you one thing. We did all the -- we moved faster in innovation within Brazil and Europe. That's the true thing that we're really running on AI. I think we are this big thinking. India has to lead. India cannot be one day behind Brazil and Europe. So expect more moves from us, making sure we have the best AI possible in India. Then another question?
Unknown Executive: I forgot the other question. We've got 2 billion for this financial year. There are other assets that we can consider, but we're not going to sort of preannounce any at this stage.
Fabricio Bloisi: Yes. There is some recommendation. We don't say we are selling this company. We probably can understand why. But our portfolio is much more than. So there is many others. Some of the others we talked about it here today, but there is many others, other 5 or 10, and there's many more billions we could sell, but we're not going to say exactly what. I can guarantee you this year, we sell $2 billion, probably in the next 6 months, we are going to announce how many billions we are going to sell the next year, at least a few more billions.
Eoin Ryan: All right. Well, thank you for that, Maddy, and thank you very much, everybody, for joining us. there are a couple of words you want to leave us with?
Fabricio Bloisi: Do you want to say a few final words? I have to say -- so a few final words. Today, the focus on numbers. And I'm happy. I think we are moving on the right direction on numbers. We will get to a few billion dollars in profit. There's much more to talk on execution of Jet, not for today and much more to talk on innovation, specifically the question that someone asked me today, I will talk exactly about that. So I am always unsure that we should be doing more and moving faster. I think we are moving well. Just getting started, but our thesis year ago is we are going to be a strong tech-focused operating company. We are going -- we are getting there. So I'm excited with the results. I hope you enjoy them too. And I hope we're going to keep sharing good news with you in the future. Thanks for coming, and thanks for being partners. Let's keep building the future together. Thank you.
Eoin Ryan: Thank you very much, everyone. Thank you, guys. And there are a couple of questions here that I will follow up. And always, if you have follow-ups, please reach out directly to your friendly IR team, and we will see you very soon. Thank you very much. Bye-bye.